Operator: Greetings and welcome to the NETSTREIT Corp First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] It is now my pleasure to introduce your host, Amy An.
Amy An: We thank you for joining us for NETSTREIT's first quarter 2022 earnings conference call. In addition to the press release distributed yesterday after market closed, we posted a supplemental package and an updated investor presentation. Both can be found in the Investor Relations section of the company's website at www.netstreit.com. On today's call, management's remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. For more information about these risk factors, we encourage you to review our Form 10-K for the year ended December 31st, 2021, and our other SEC filings. All forward-looking statements are made as of the date hereof and NETSTREIT assumes no obligation to update any forward-looking statements in the future. In addition, certain financial information presented on this call includes non-GAAP financial measures. Please refer to our earnings release and supplemental package for definitions, GAAP reconciliations, and an explanation of why we believe such non-GAAP financial measures are useful to investors. Today's conference call is hosted by NETSTREIT's Chief Executive Officer, Mark Manheimer, and Chief Financial Officer, Andy Blocher. They will make some prepared remarks and then we will open the call for your questions. Now I'll turn the call over to Mark. Mark?
Mark Manheimer: Good morning everyone, and welcome to our first quarter 2022 earnings conference call. I'm pleased to share with everyone our strong start to the year, completing over $135 million in net investment activity during the quarter, including acquisitions, developments where rent has commenced, and our first ever secured mortgage loan with an option to purchase. We acquired 34 properties for $90 million at an initial cash capitalization rate of 6.3% and a weighted average lease term of 8.2 years. In addition, rent has commenced on two development projects that had total cost of $7.6 million and had a weighted average investment yield of 7.6%. We also provided $5 million of funding to support ongoing development projects and one new development for an investment-grade profile tenant. At quarter-end, we had nine projects under development, representing $37 million of additional investment. During the quarter, we entered into our first ever convertible mortgage loan agreement with a developer, a $40.4 million secured loan with an 18-months term and an interest rate of 6%. The loan is collateralized by three parcels of land that include a strong performing Home Depot located in the Portland, Oregon MSA. And funding the loan to value was approximately 75%. Upon the completion of the developer's plan to redevelop and reposition the assets and with certain conditions being met, NETSREIT will have the right to purchase the Home Depot at an above-market cap rate equal to the current 6% interest rate. Additionally, we are comfortable with the real estate quality as security for our loan. We do not expect to purchase the other two assets that collateralize our loan. Stepping back, we view this transaction as a demonstration of how we can work with real estate owners to find creative transaction solutions while providing a path to fee simple ownership of high-quality real estate for industry. in this case, we are providing the seller time to achieve their optimal resolution through a short-term loan while we receive an option to purchase the asset we want at an accretive return and achieve a superior interim yield on a well-secured loan. The investment-grade and investment-grade profile totals for our investment activities in the quarter, including acquisitions, developments where rent commenced, and the mortgage loan receivable were 56.5% and 21%. Lastly, we disposed of the casual dining restaurant during the quarter for a sales price of $2.4 million representing a 5.5% cash cap rate. We will continue to opportunistically reduce our exposure to select categories including casual dining, banking, and health and fitness. At the end of the first quarter, our portfolio was comprised of 361 properties with 71 tenants, contributing $77 million of annualized base rent. The portfolio had a weighted average lease term remaining of 9.6 years with 80.6% of ABR represented by tenants with investment-grade ratings or investment-grade profiles and the portfolio remains 100% occupied. New tenants added in the quarter include a Publix grocery store, a Panera Bread, and a Family Fare grocery store. In addition, we added one new state, Nevada to our portfolio during the quarter. As we look ahead, our pipeline continues to grow as we source opportunities through various channels and work creatively with tenants to unlock value and provide capital while maintaining our portfolio quality and returns. At this time, we believe we are well-positioned to achieve our increased investment target for the year. Before I hand the call off to Andy to go over the first quarter financial results, I want to take a moment to remind everyone of the unique characteristics of NETSTREIT. Since our formation in 2019, we have curated and built our portfolio strategically. Our investment-grade percentage remains one of the highest in the net lease space. Our portfolio is largely made up of tenants in defensive industries and we have no legacy issues with our assets. We have focused on tenants and industries that will perform very well in any economic environment with a large capital cushion to respond and adapt to various evolutions in the retail space. With rising inflation and interest rates as well as global uncertainty, we are confident that our portfolio is well-positioned to deliver the most stable cash flows in our space, even as we seek to meet our increased growth expectations for 2022. With that, I'll turn the call over to Andy to go over our first-quarter financial results in 2022 guidance.
Andy Blocher: Thank you, Mark and once again, thank you for joining us on today's call. In our earnings release published yesterday after market close, we reported net income of $0.04, core FFO of $0.28, and AFFO of $0.29 per diluted share for the first quarter. The portfolio's annualized base rent grew to $77 million in the first quarter, up 60% from the first quarter of last year, driven by acquisitions and developments since the prior year's quarter. Interest expense increased to $1.2 million from $0.9 million due to our higher average balance outstanding on the revolver compared to the first quarter of 2021. G&A increased to $4.2 million in the first quarter compared to $3.1 million from first quarter of 2021, primarily due to increased number of employees as we grew our staff from 20 at the start of 2021 to 26 today, and the opening of our new corporate office. Turning to our balance sheet at quarter-end, we had total debt of $295 million outstanding, of which $175 million is from our fully hedge term loan with a remaining balance from our revolving line of credit. We have no debt maturities until the maturity of our revolver in December 2023, which is subject to a one-year extension option to align with the December 2024 maturity of our $175 million term loan. Moving on to our capital markets activity during the quarter, in early January, we entered into forward sale agreements related to over 10.3 million shares of our common stock at an offering price of $22.25 per share. On March 30th, we settled over 3.4 million shares receiving net proceeds of $72 million after deducting fees and expenses we have until January 10th, 2023 to settle the remaining shares. Also during the quarter, we issued shares in connection with our ATM program for net proceeds of approximately $3.5 million after deducting underwriting discounts and transaction costs of about $100,000. With our successful capital market activities during the first quarter, we have significant dry powder in hand to fund most of our targeted investment activity for 2022. At March 31st, 2022, our net debt to annualized adjusted EBITDA ratio was 4.6 times, which was at the low end of our targeted leverage range of 4.5 to 5.5 times. After giving consideration to the remaining shares in the forward sales agreement, our net debt to annualized adjusted EBITDA ratio would be 2.3 times With regard to our dividend earlier this week, the Board declared a $0.20 regular quarterly cash dividend to be payable on June 15 to shareholders of record as of June 1st. Our payout ratio for the quarter was just under 69%. We are increasing our 2022 AFFO per share guidance range to $1.14 to $1.17 per share and net investment guidance to at least $500 million for the year. Our guidance includes the following assumptions. Increased investment activity in the year including developments where rent commenced, mortgage loan receivables, and net of dispositions to at least $500 million, cash G&A to remain in the range of $14.5 million to $15 million, which is inclusive of transaction costs. Non-cash compensation expense is expected to be in the range of $5 million to $5.5 million. Cash interest expense is being increased to the range of $5.5 million to $6.5 million, reflecting the significant rise in short-term base rates. Non-cash deferred financing fee amortization which is not included in our cash interest expense remains unchanged at approximately $600,000. And full-year 2022, diluted weighted average shares outstanding, which includes the impact of OP units to be in the range of 52 million to 54 million shares. Echoing Mark's earlier comment, we're off to a great start this year. We are highly confident that our investment strategy positions us to continually deliver a predictable cash flow in a time of global uncertainty through our ability to regularly source and finance accretive deals to grow our best-in-class portfolio. With that, we will now open the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Nate Crossett with Berenberg. Please go ahead.
Nate Crossett: I was wondering maybe you could just comment on the deal flow so far in Q2, your visibility into the pipeline, and what you're seeing in terms of pricing.
Mark Manheimer: Yes, sure. The pipeline is probably a little bit more robust than what we typically see at this point in the quarter. So, we're feeling pretty good about second quarter and a few transactions that I think will likely leak into the third quarter and then as it relates to what we're seeing on pricing, we certainly are seeing a number of buyers kind of falling out of contract on some of their deals and pushing back as there financing costs have increased. So, I think a little bit more opportunity on some deals that have come back to us.
Nate Crossett: Okay, that's helpful. And then, maybe just one on the mortgage loan. Are there more of those in the pipeline and maybe you can just talk to that specific transaction. How did it come about, was it off-market? Are there other opportunities with this developer? Things like that.
Mark Manheimer: Yes, sure. So, specific to that opportunity, we just viewed that as a really good opportunity to come in, provide capital to that developer that needed to do some work, re-parcel off the Home Depot that we'd like to own long-term, and then sell off a couple of outparcels at much lower cap rates than what we would like to acquire assets at. So, at a 75% LTV type situation in some pretty clear goals that they needed to accomplish that we think are pretty achievable in the short- term, it was a good way for us to get our hands on an asset sometime in the next 18 months at a very aggressive cap rate. It's a Home Depot that has some of the best foot traffic in the country. So, typically a location that we have a lot of trouble getting our hands on. Now, I think we'll likely do more business with this particular developer, likely won't look quite like this. Not to say that we wouldn't do a similar type of transaction but I think the circumstances here were pretty unique where we could come in with a very low-risk option to come in and take down a property at very attractive pricing
Operator: Thank you. Next question comes from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Good morning. Just following up first on the investment environment. Mark, What's driving the increase in the investment pipeline that you cited and then, can you comment on whether you anticipate any change in pricing or cap rates as we move further throughout the back half of the year?
Mark Manheimer: Yes, sure. I mean -- it's always difficult to predict exactly where cap rates are going to go, but we do anticipate cap rates moving up a little bit on the margin. And I think what's really driving our pipeline as we've seen a number of different types of buyers that have really had trouble getting their financing. And so, as you're aware, kind of our approaches -- we'd look for the investments that really fit our criteria and then we try to get the pricing that works for us. The second part being the more challenging of the two. And so, with a lot of buyers kind of blowing out of contracts and not being able to perform that allowed us to get back involved with a lot of these transactions. So, and I think, it's always tough to predict exactly how this plays out, but we've seen more portfolio opportunities which historically, we've done very few. We've done a couple of deals over $50 million but typically that's not what we're focused on, but when you think about the buyers that were really driving the cap rate compression overall in the net lease retail space. Those are going to be to your higher LTV portfolio buyers that can no longer get the financing to drive their cash-on-cash yields that they were really trying to solve for, so seeing them kind of pulled back out of the market. There is a number of wholesale to retail type portfolio buyers that would go in and try to take advantage of the 1031 pricing. They have become very uncomfortable that they're going to be able to flip those properties accretively. And so, we're seeing some of those deals potentially come back to us. There are other public buyers that are still aggressive in the market. So, we're cautiously optimistic that we may be able to do some more chunkier transactions. But I think, we're going to continue to stick to our bread and butter, which are the kind of the smaller portfolios and one-off transactions
Todd Thomas: Okay. And then -- thinking about dispositions, you mentioned that you would continue to look to reduce exposure to casual dining, banking, and I think health and fitness. Where do you want those exposures to be and what's the timeline to get to those target exposures and if you are seeing some smaller or medium-sized portfolio deals, is there an opportunity to rotate capital, recycle capital a little bit sooner?
Mark Manheimer: Yeah, absolutely. So, we're always opportunistic when we're thinking about dispositions. We added a portfolio within this quarter, which included a bank so we're looking to sell that pretty quickly. We think we can do that pretty accretively and then, casual dining, we've gotten it down under 1%. I think that's probably a healthy area to stick around for us. We did add one location at Chili's that does over $4 million in sales. So, we're a little bit less concerned about that particular location with really low rents. So, each situation is kind of we underwrite to its individual characteristics. But, I think -- I would think about casual dining likely to hang around that 1% of our portfolio but really be very selective of what we're willing to keep in the portfolio and then banks, I think you'll likely see that eventually get down to zero.
Operator: Next question comes from Greg McGinniss with Scotiabank. Please go ahead.
Jason Wayne: Hi, this is Jason Wayne on with Greg. Good morning. So, you mentioned last quarter about potentially raising debt in the back half of this year. I was just wondering if that's still the expectation and what kind of rates you would anticipate achieving on that?
Mark Manheimer: Yes, Jason. Yes, it is from our perspective. We do continue to anticipate raising additional debt in the back half of the year. It's really to kind of term out what's going to be a more permanent line balance on our revolver. We have been talking about doing a 10-year private placement in the 4% range that market is in pretty significant disarray, increased base rates, widening outspreads. The indicative levels on that now are somewhere probably between 5% and 5.25%. We do have other attractive options that allow us to get term, five-year, and seven-year term through the bank market. I would anticipate that once we are able to put this quarter's earnings in the rearview mirror. Randy and myself go out to the market and start evaluating alternatives for a recast to the line of credit while maintaining as much optionality as we possibly can to lock in term into the future. So, the increase in interest expense expectations that you saw in our guidance is really reflective of the opportunity set that we see as of today.
Operator: Next question comes from Josh Dennerlein with Bank of America.
Unidentified Analyst: Good morning. This is [Lizzy Doykin] on for Josh. I just wanted to pull up again on the, what you're seeing in the transactions market. Is there any sign of seeing leveraged buyers or just given the current volatility in the debt market impacting certain opportunities for you all to take on. It's -- if you could comment on seeing that or potentially seeing that as an issue as you consider transaction.
Mark Manheimer: Yes, sure, so yeah, we are seeing some of the higher leveraged type buyers by our LTV buyers that are relying on, call it 75% type LTV transactions, more or less pulled out of the market, especially in some of the portfolio deals. To give you an idea of how we typically operate when we see larger portfolio transactions that are marketed, we'll typically bid on those and then just never hear back from the broker on those types of deals because we just aren't really that competitive on pricing because we can find better risk-adjusted returns with smaller types of deals that get a little bit less attention. We are getting calls back which is certainly a pretty big change. I still don't think -- I think we're now we're rather than being seventh or eighth in line for pricing, I think we're probably third or fourth, in most cases. So, I still wouldn't anticipate us to be doing a lot of larger portfolios. But I think it is indicative of the fact that there aren't as many private buyers that are relying on more leverage when they're transacting
Unidentified Analyst: Okay, great. And I just wanted to dig into process of being more selective on certain industries that you look to expand like you could talk about talking after strategy if that kind of remains the same with respect to screening with tenants or opportunities. Is there anything in particular with Publix that was new to kind of your approach in considering opportunities?
Mark Manheimer: Yes sure. I mean I think as it relates to Publix, I think we would -- we've always wanted to add them to our portfolio and we've -- it's just difficult to make the pricing work in most situations and so -- this is a transaction that we have worked on for quite some time, had a few outparcels which included a Wells Fargo Bank, which we're taking on. We put in the TRS and then we're going to sell. So, it had a couple of moving pieces that allowed us to get in front of it and close on it. So, we'd love to do more of those types of transactions. But I don't think that our investment criteria has changed really in any way when we formed the company back in 2019. We really wanted to focus on tenancy that's going to do very well in any economic cycle and certainly what we're seeing and what we're predicting here for the next several quarters, is there is going to be some pressure on the consumer? I think anything discretionary is going to be a little bit more difficult. We went through our entire portfolio and really tried to think through, what's the most discretionary within our portfolio. Fortunately, we don't -- most of it's going to be a necessity-based and really defensive types of categories. So, I think the thesis at the time that we really started adding to the portfolio back in 2019-2020 has really held and I think Netflix, you're seeing their subscriber base decrease, which to us is an indication that people's budgets are getting squeezed and they're looking at their monthly budget and saying, what do I really need, what don't I need. So, we feel like we're really well-positioned to be able to collect all of our rent and we think that'll be a differentiator for us.
Unidentified Analyst: Great. Thank you. That's helpful. Just a follow-up. So, would you say your focus is -- there's kind of a higher focus on the defensive category?
Mark Manheimer: Yes, I mean I think that's been our DNA from day one, but I think it's even though that's our DNA. we wanted to take a hard look at the portfolio and really assess not only the underwriting that we did at the time of the acquisitions but kind of what things look like today and really feel very comfortable with the portfolio. There will be some things on the edges that we may look to sell, casual dining certainly an area that we spoke about a little bit earlier. If you've got a consumer that's under pressure, that's an area that we've seen get squeezed in the past. So, we're going to be extraordinarily selective with some of the categories that we're in.
Operator: [Operator Instructions] Next question comes from Nicholas Joseph with Citi. Please go ahead.
Nicholas Joseph: Thanks. For the development spend, what's the exposure to rising construction costs and how does that impact the targeted yield?
Mark Manheimer: Yes, it's a great question. So, there is a lot of different ways to attack development. We've chosen to take a very conservative approach where we're underwriting the developer and all cost overruns are borne by the developer. So, we need to lease in hand and not be responsible for any cost overruns. And so, we haven't had any issues there, but I do think it's going to have a negative impact on future developments in terms of being able to make the numbers work where the retailers are either going have to pay more rent or the developer is going to have to take less profit, so, which is already pretty thin. So, I would anticipate that part of our pipeline coming under some pressure and maybe not growing quite as quickly as it would have absent the increase in construction costs and labor costs
Nicholas Joseph: Thanks. But the existing development pipeline is pretty locked in from your standpoint in terms of the yield.
Mark Manheimer: Correct. That's right.
Nicholas Joseph: Awesome. Thank you.
Mark Manheimer: Thank you.
Operator: Next question comes from Linda Tsai with Jefferies. Please go ahead.
Linda Tsai: Yes, hi. The mortgage loan receivable that was accretive way to achieve your capital deployment target. Are there other examples that you could point us to in terms of creative solutions to achieve capital deployment?
Mark Manheimer: Yes sure. I mean I think really from our inception we've looked to figure out the most creative ways to get better cap rates and better yields for higher-quality assets and so, and some of those work today some of them don't. I think a good example was where we had a Walmart and a Sam's Club in Tupelo, Mississippi last year where there is a shopping center. REIT that was selling an entire shopping center, we put a bid in for that Walmart and that Sam's Club and they came back and said, hey look, we're really looking to sell the entire shopping center not really just trying to sell the two things that are easy to sell and so we brought in a partner that was able to kind of take on the junior boxes and shop space and the more difficult part of the transaction for us and manage the center and allowed us to come in and buy the Walmart and Sam's Club, 12 years of lease term at a 6.6% cap rate. So I think we're always looking for creative ways to get in front of transactions in a very low-risk way and that's essentially a big piece of our underwriting and acquisitions process, which I think is a little bit different than what you see with some of the other REITs.
Operator: Thank you. I will now turn the floor over to Mark for closing remarks.
Mark Manheimer: Well, thanks everybody for joining us today and we look forward to keeping the dialog going. Have a good day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.